Operator: Good morning, ladies and gentlemen, and welcome to Monro Inc.’s Earnings Conference Call for the First Quarter of Fiscal 2023. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference call is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Felix Veksler, Senior Director of Investor Relations at Monro. Please go ahead.
Felix Veksler: Thank you. Hello, everyone, and thank you for joining us on this morning’s call. Before we get started, please note that as part of this call, we will be referencing a presentation that is available on the Investors section of our website at corporate.monro.com/investors/investorresources. If I could draw your attention to the Safe Harbor statement on Slide 2, I’d like to remind participants that our presentation includes some forward-looking statements about Monro’s future performance. Actual results may differ materially from those suggested by our comments today. The most significant factors that could affect future results are outlined in Monro’s filings with the SEC and in our earnings release. The company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Additionally, on today’s call management’s statements include a discussion of certain non-GAAP financial measures which are intended to supplement and not be substitutes for comparable GAAP measures. Reconciliations of such supplemental information to the comparable GAAP measures will be included as part of today’s presentation and in our earnings release. With that, I’d like to turn the call over to Monro’s President and Chief Executive Officer, Michael Broderick.
Michael Broderick: Thank you, Felix, and good morning, everyone. I’ll spend the first part of our call this morning recapping our strategy and the progress we’ve made as evidenced by our first quarter’s results. I’ll then discuss the divestiture of our non-core wholesale and tire distribution assets completed in the quarter, as well as provide an update on our capital allocation. We are a leader in the highly resilient and largely non-discretionary auto service aftermarket industry. Given the resiliency of our business model and the robust demand for our products and services, our success remains in our hands. We are intently focused on continuous improvement of in-store execution. Over the last 12 months, we have increased staffing levels in our stores in order to meet the needs of our customers. We are focused on productivity improvement plans to drive more sales and profit at our locations. We are also executing our strategy to improve our underperforming stores, which represent about a quarter of our overall store base. Our first quarter results for this group of stores show that this strategy is working. In the first quarter, our retail comp store sales grew approximately 3%. Comp store sales in our 300 small or underperforming stores increased 15% in the quarter. As a reminder, comp store sales at these stores decreased by 8% in fiscal 2022, compared to fiscal 2020. The acceleration in sales at these 300 stores was the result of improved technician staffing levels and training to meet customer demand. Comp sales in our remaining stores were approximately flat. These stores experienced softer consumer demand in the quarter. While a number of factors can impact demand, this softness was at least partly due to a broad based inflationary pressures impacting the consumer, including higher fuel prices and the negative impact on miles driven. We are not satisfied with our top line results, but we are encouraged that our tire unit market share increased in the quarter. Regarding staffing, we are in the final stages of rightsizing our store labor and believe we have built the labor capacity in our stores to meet customer demand. These investments in additional head count and inflationary wage pressures increased our technician labor costs as a percentage of sales in the quarter by 200 basis points versus the same period last year. This was a 50 basis point sequential improvement resulting from an increase in sales per tech hour and in 9% reduction in overtime hours. Our first quarter demonstrates clear progress in order to meet our mid-single digit comp store sales growth expectations we still have important work to do. It is now about properly training our technicians and reallocating resources between the front of shop and back of shop investments to maximize store productivity. We are focused on training our new and existing teammates on the key in-store processes that drive sales and deliver an outstanding guest experience. These includes store scheduling, phone skills, courtesy inspections, and becoming our customers most trusted vehicle advisor. We continue to improve in these operational areas. While comparable store sales in our 300 small or underperforming locations were up nearly 10%, continued softness in consumer demand in our remaining locations resulted in a decrease in preliminary comp store sales for fiscal July of less than 1%. Now that our staffing initiatives are almost complete. We are carefully managing expenses in the business, which we expect to drive profitably. As we continue to capture productivity improvements from our technician staffing investments, we expect to deliver better sales and gross margin results as fiscal 2023 progresses. Now turning to the divestiture we announced last quarter. In June, we successfully completed the divestiture of our wholesale and tire distribution assets to American Tire Distributors for a total transaction value of $102 million. We received $62 million at closing and the remaining $40 million will be paid to us quarterly over approximately two years based on our tire purchases from or through ATD in connection with the supply agreement we entered into with them. We are pleased to report that our partnership with ATD is off to a great start, giving us much better availability, quicker delivery, and better pricing. Aside from the cash flow generated from this transaction, it has sharpened our focus on our retail store operations. This is our core strength and where we will concentrate all of our energy and resources. I’d like to thank all of our teammates for their hard work in bringing this transaction over the finish line and for their ongoing dedication to our customers. And also like to wish those teammates who transitioned over to our partner at ATD, all the best in the future. Lastly, an update on our capital allocation. The proceeds received from the completed divestiture excess cash being generated by our retail operations and the strength of our balance sheet allows us to continue to return capital to our shoulders at the same time as we pursue our growth strategy. During the first quarter, we expanded our longstanding policy of sharing our results with our shareholders through an increase in our dividend and we began executing on our share repurchase program, which authorizes us to repurchase up to $150 million of the company’s common stock. As part of our growth strategy, we continue to carefully review value enhancing acquisitions while maintaining our discipline approach in evaluating multiples. We believe we have significant capacity to acquire businesses which fit into our overall strategic plan. In summary, as we continue to navigate an uncertain macro environment, there’s robust demand for our products and services. In-store execution is our greatest opportunity for improving results and is firmly in our control. Our staffing initiatives and focus on our small or underperforming stores delivered retail comp store sales growth in the first quarter. As our training and productivity initiatives take hold, we expect to deliver continued improvements in sales and earnings. The divestiture of our non-core wholesale entire distribution assets will allow for a sharper focus on our retail operations. Significant cash flow generation will allow us to return capital to shareholders through healthy dividend and share repurchase programs, as well as capitalize on acquisitions. With that, I’ll now turn the call over to Brian, who will provide an overview of Monro’s first quarter’s performance, strong financial position, and additional color regarding fiscal 2023. Brian?
Brian D’Ambrosia: Thank you, Mike, and good morning, everyone. Before getting into the specific details of the quarter, note that the discussion of our first quarter financial performance includes the results of the divested wholesale tire and distribution assets through June 16. Turning to Slide 8, sales increased 2.3% year-over-year to $349.5 million in the first quarter. Total comparable store sales increased 0.4%, while sales from new stores increased $11 million. Excluding the divested assets, retail comparable store sales increased 2.8%. Gross margin decreased 180 basis points from the prior year to 35%. The year-over-year decrease was primarily due to an incremental investment in technician headcount and wages to support current and future top line growth. We estimate that this incremental investment impacted gross margin by 200 basis points in the quarter, lower than expected comparable store sales growth also resulted in higher fixed distribution and occupancy costs as a percentage of sales. Material cost as a percentage of sales improved year-over-year driven by higher selling prices and a mix shift towards our higher margin service categories. Total operating expenses were $95.9 million or 27.4% of sales as compared to $98 million or 28.7% of sales in the prior year period. The decrease was principally due to a $1.2 million gain on the sale of our whole sale tire locations and distribution assets, net of closing costs as well as costs associated with the closing of a related warehouse in the quarter, and $3.9 million in one-time litigation settlement costs in the prior year period. Operating income for the first quarter declined to $26.3 million or 7.5% of sales. This is compared to $27.9 million or 8.2% of sales in the prior year period. Net interest expense decreased to $5.7 million as compared to $6.9 million in the same period last year. This was principally due to a decrease in weighted average debt. Income tax expense was $8.1 million or an effective tax rate of 39.6% compared to $5.3 million or an effective tax rate of 25.4% in the prior year period. The increase in the effective tax rate was due to the tax impacts related to the divestiture of our wholesale tire locations, entire distribution operations, as well as the revaluation of deferred tax balances due to changes in mix of pre-tax income in various U.S. state jurisdictions because of the divestiture. Net income was $12.5 million as compared to $15.7 million in the same period last year. Diluted earnings per share was $0.37 compared to $0.46 for the same period last year. Adjusted diluted earnings per share, a non-GAAP measure was $0.42 in the quarter and excluded $0.03 per share of gain on the sale of our wholesale tire locations and tire distribution assets, net of closing costs and cost associated with the closing of a related warehouse and excluded $0.08 per share of certain discrete tax items related to the sale, as well as the revaluation of deferred tax balances due to changes in the mix of pretax income in various U.S. state jurisdictions, again, because of the divestiture. This compares to adjusted diluted earnings per share of $0.55 for the same period last year, which excluded $0.09 per share of cost related to one time litigation settlement costs, $0.01 per share of acquisition due diligence and integration costs, and $0.01 per share of benefit from an adjustment to the estimate for prior year store closing costs. As highlighted on Slide 9, we continue to maintain a very solid financial position. We’ve generated a record $77 million of cash from operations during the first quarter, including $48 million in working capital reductions. We received $62 million in divestiture proceeds of which $5 million are currently being held in escrow. We invested $8 million in capital expenditures, spent $10 million in principle payments for financing leases and distributed $9 million in dividends. Lastly, under our board authorized share repurchase program, we repurchased approximately $17 million of our common stock. At the end of the first quarter, we had bank debt of $110 million, cash and cash equivalence of $31 million and a net bank debt-to-EBITDA ratio of 0.4 times. While we are not providing guidance for fiscal 2023, we are providing color to assist in your modeling. Note that our comments for the remainder of fiscal 2023 factor into divestiture, which generated about $115 million in sales in fiscal 2022. We expect the ongoing impact from the divestiture to be accretive to overall gross and operating margins and neutral to earnings per share. As we have made investments in store labor to drive higher year-over-year sales, this will continue to put pressure on our gross margins in fiscal 2023, which should be more than offset by the divestiture of our lower margin wholesale tire locations, a higher percentage of service sales in our retail locations and pricing actions. Total operating expenses are expected to be slightly higher as a percentage of sales on a year-over-year basis as a result that the divestiture of the wholesale tire locations. Our tax rate should be approximately 25% for the remainder of the fiscal 2023. Regarding our capital expenditures, we expect to spend approximately $40 million to $50 million in fiscal 2023. In addition to the operational improvements that we expect to benefit our sales and earnings, we also expect an improvement in our operating cash flow generation. This improvement will be driven by improved profitability as well as continued working capital reductions. We believe that our balanced approach of returning capital to shareholders, as well as completing value enhancing acquisitions will meaningfully increase our return on invested capital. And with that, I will now turn the call back over to Mike for some closing remarks.
Michael Broderick: Thanks, Brian. We’re optimistic about our outlook for the remainder of fiscal 2023 and beyond. Although, we still have important work to do. We strongly believe that we remain well positioned to execute our growth strategy and deliver long-term value creation for our shareholders. Before we move to questions, two topics I wanted to briefly address. First, our governance structure. We have been consistent in our disclosures regarding the company’s dual class capital structure and the fact that the company does not have the right nor power to unilaterally recapitalize its equity capital structure. Second, I want to be clear that the board is more than aware of its fiduciary duties is well advised and will continue to act in the best interests of all shareholders and in compliance with securities laws. With that, I will now turn it over to the operator for questions on the quarter.
Operator: Thank you. [Operator Instructions] Thank you. Our first question for today comes from Daniel Imbro from Stephens Inc. Daniel, your line is now open.
Daniel Imbro: Yes. Hey, good morning, guys. Thanks for taking our question.
Michael Broderick: Good morning.
Daniel Imbro: Mike, I wanted to start actually on the tire category. You saw a nice acceleration on a one and two-year stack, and I think in the prepared remarks, you mentioned that unit market share increased. Could you break down that comp increase and talk about maybe how much of that was ticket versus price inflation. And on share, how are your strongest markets doing unit share increasing in all your markets or I’m just curious kind of how that – how ubiquitous that unit market share growth has been across the country.
Michael Broderick: Yes. Thanks, Daniel. Let me – on the market share and I’ll speak specifically around tires, but I also would like to introduce parts at the same time, because there might be other follow-up questions on market share. So I separate market share. We have good data, industry data, all about tires. So I have a good power doing with tires. We don’t have that same view with parts and service categories. But to be go and trying to answer all your questions around tire category, we saw growth across the market, across the country, but we really saw a nice, I would say, significant change in the south, southeast and also the northeast. They really had a nice first quarter. So now looking at overall market share, the industry units wise were significantly down in the first quarter. We were down also, we were able to optimize with price. It was – we don’t want to get into the specifics, but it was all driven through price. So when I look at the 5% comp, although, I’m happy with the 5% comp, I was expecting much better numbers. It seemed like we were moving through the month of May in a good way. And then all of a sudden things slowed down and I feel like the customer was definitely affected starting in the early parts of June. I do believe that’s deferred maintenance in very much way. I mean, we started seeing customers trade down from four tires to two tires to one tire. I do believe that just like on services, all that’s going to be deferred. And I look forward to those customers coming back, because those services still need to be provided.
Daniel Imbro: Got it. That’s really helpful. And then on the kind of initiative and staffing, you mentioned you’re towards the tail end of staffing, but then Mike, you talked a little bit about employee training. You guys are working on kind of in-store training, curious where we’re at in that initiative. And then what are the margin implications we should think about as you guys roll that out and how’s the team responding. How are the teammates responding to being asked to do more or kind of change their day to day operations in the stores? Thank you so much.
Michael Broderick: Yes. That’s a really question, because it’s a big portion of what I – what we’re trying to do, here is really be a best in class service retailer. And it’s all about having trained associates be able to take care of our customers the first time properly. So just like any retailer, that’s a challenge to make people do different things and actually expand something out of their comfort level. It’s been part of our agenda for a long time. I would say, it’s really coming to life recently, everybody on one consistent way of how we greet a customer, how we answer the phone, how we service a vehicle. I’ve talked about in the past a courtesy inspection, how do we perform a courtesy inspection on every vehicle? I mean, and I don’t think we’re there, I mean, we have a lot more work to do there. We really do. I would say, that’s a significant opportunity for us. We’re investing in technology to help augment that. We’re really start focusing on people who are not following the Monro web. The good news is, I always say that the majority of our teams see where we’re going, they’re actually benefiting from the training. They’re actually doing additional services like check engine light. Monro has not been a destination in the past, but it’s coming to life in a better way. And anything that we touch with regards to service categories has a significant positive improvement in our gross profit. And it flows right through the bottom line. So that is our focus, having a nice balanced approach, really focusing on new categories and it all comes to life with our training initiatives.
Daniel Imbro: Great. Well, best of luck.
Michael Broderick: Thanks for question, Daniel.
Operator: Thank you. Our next question comes from Brian Nagel from Oppenheimer. Brian, your line is now open.
Brian Nagel: Hi, good morning.
Michael Broderick: Good morning, Brian.
Brian Nagel: So I have a few questions on top line, I’ll kind of maybe merge them together but – if I can. So first, this always going – Mike, going back to the prepared comments and talking about the initiatives. I just want to make sure I kind of understand correctly. So what I think I hear you saying is that the under – the historically underperforming stores where you put these labor initiatives in, I mean, there you’ve seen a nice response and sales performing well, but the lag which are now the better performing – they’re historically better performing stores. So I just want to make sure I understand that dynamic correctly. And then my question on that would be then is that, so as you look at that, are there initiatives you can put in place in what in these stores have had historically even better performing to drive a better performance there?
Michael Broderick: Yes. You got it, Brian. So all our stores actually saw deceleration. We were coming off a strong growth in May. And I was really optimistic about where the customer, where the company was going. So we saw a lot of these come to life led by our small stores, and it’s all about the small stores, really changing year-over-year declines. And we talked about staffing and we talked about training, really emphasizing that these stores are good stores, they just have – they need more attention. So we put more attention and they responded and our customer responded immediately. Now coming into June, I would say, it’s just the challenge that we’re working with the consumer base, when we looked at vehicle miles traveled, I think the consumer and we – in my prepared remarks, I do reflect back on, I mean, the consumer definitely started changing their buying behaviors from May to June and then in July. I do believe all that’s going to come back, the good news about the automotive aftermarket. You still going to have to service your vehicle. So that’s all going to be deferred and we’re very much prepared and focused on getting ready for that. We’re putting in marketing initiative together. We’re focusing on training. We’re focusing on properly staffing our stores. And we wanted to take advantage of when that customer comes back in all of our stores.
Brian Nagel: Got it. Okay. And then my follow-up, so what’s regard to inflation and clearly that’s a topic that we’re discussing across consumer at this point, because you look at, this maybe the impacts you’re starting to see more or the intensifying impacts you’re seeing on your business. You think it’s – or it’s more the consumer reacting to broadly based inflation or is it inflation specifically within your category, your pricing, then I guess the question would be there, are there actually you could take to help offset that?
Michael Broderick: Yes. And I absolutely believe it’s broad based because in our pricing actions, we’ve actually gone the opposite direction. We’re actually offering and I’ve talked about this in the past offering good, better, best, introducing value where we didn’t have before. So I actually am trying to meet the – where they are, 40% of the customer base that we have could be really affected increase in gas. They’re a very similar customer to most of the retailers that are going quickly right now. So we are very focused on driving value and making sure that we have a value offering for all of our categories, tires, brakes be, oil would be the three that I could easily talk about. But what we are looking at really is I would say, especially with the syndicated data – they have on tires things changed around the tire category. And I think that is very much in parallel to service categories.
Brian Nagel: Okay. Then one final question. I’ll keep it quick. I appreciate all the colors. Look, I know we’re watching this in painful real time frankly, but with regard to gas prices, gas prices have started to moderate off recent peaks are – as that’s happening. Are you seeing any type of so to say improvement or has it been its steady?
Michael Broderick: Brian, maybe I can ask you – maybe you can jump in on this one.
Brian D’Ambrosia: Yes. I would say Brian, that we are certainly I think you can see vehicle miles traveled responding generally to gas prices. We’ve seen that kind of along the way. But as Mike said, there’s general inflationary pressures on the consumer more share of their wallet is going to food to shelter. And certainly still year-over-year gas even though it’s come down sequentially. So those I think have created some pressure as Mike said on some of our larger ticket categories, certainly tire being the largest.
Brian Nagel: Got it. Thanks, guys. Appreciate all the color.
Michael Broderick: Brian, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Brett Jordan of Jefferies. Brett, your line is now open.
Brett Jordan: Hey, good morning, guys.
Michael Broderick: Hi, Brett.
Brian D’Ambrosia: Hi, Brett. Good morning.
Brett Jordan: Good morning. You commented about tire share gain in that comp. Could you talk about, I guess, within the broader comp other categories, how you see yourselves versus from a market share standpoint?
Michael Broderick: Yes. That’s the only just like I responded, I’m happy that we took comp. I’m not happy with our overall number. So even though, we definitely had higher expectations. I don’t really have any strong comp, anything to look at market share on the other service categories, Brett. So I can only say that we’re not happy with our results. And we’re very much focused on mid-single digits. So anything less than mid-single digits, I’m not happy. And I look at that for basically across all my major categories, including batteries, including brakes, including oil change. I mean that’s what we’re focused on. And last but not least, it needs to be a balanced approach. I want more ticket like ticket, but I also want to balance approach with customers and I really do – we have an opportunity at Monro to get a consistent growth in customer and ticket at the same time. And I look sharing that with you in the future.
Brett Jordan: How was that to 2.8 stacked ticket versus traffic count?
Brian D’Ambrosia: Without getting into specifics, it was led by an increase in ticket and a decrease in traffic.
Brett Jordan: Okay. And then I guess question on the working capital reduction, you picked up $48 million in working capital, and you talked about more. Could you sort of give us a ballpark size of what left in working capital that we could see in the – in cash flow this year?
Brian D’Ambrosia: Yes. A lot of work there and in order to capture additional working capital improvements and we’re certainly committed to driving that and expect to do it, but I’m not going to provide a range or a guide on that. But what I would say is, we saw record cash flow in Q1, record operating cash flow given by that working capital reduction and we expect that continued improvements there will continue to benefit. And we would expect to put up near or record cash flow numbers as we move through fiscal 2023.
Brett Jordan: Okay. And then Brian, can I get the housekeeping question of the quarterly? Sorry, the monthly comps in the quarter?
Brian D’Ambrosia: Yes. It was about flat in April, almost six in May and two in June.
Brett Jordan: Okay, great. Thank you.
Michael Broderick: Thanks, Brett.
Operator: Thank you. We have no further questions for today. So I’ll hand back to the management team for any further remarks.
Michael Broderick: Thank you for joining us today. This continues to be an exciting time to be part of Monro. We have a strong foundation to build upon to create long-term value for all our stakeholders. I look forward to keeping you updated on our progress. Have a great day.
Operator: Thank you for joining today’s call. You may now disconnect your lines.